Operator: Thank you for standing by. This is the conference operator. Welcome to the Eguana Technologies, Inc. Third Quarter 2024 Results Conference Call and Webcast. [Operator Instructions] I would now like to turn the conference over to Justin Holland, CEO of Eguana Technologies. Please go ahead.
Justin Holland: Thank you. Good afternoon, and thank you for joining the Eguana third quarter 2024 earnings and update call. On the call today we have the Eguana team, Brent Harris, COO; Hansine Ullberg, CFO; and [Dave Hanlon], our Corporate Controller. Before we begin, please note that certain remarks may constitute forward-looking statements. Although we believe these statements reflect our best judgment based on factors currently known to us, actual results may differ materially and adversely. Please refer to the company's filings on SEDAR for a more inclusive discussion of risks and more details relating to the uncertainty of forward-looking statements. Please also note these statements are being made as of today, and we disclaim any obligation to update or revise them. All financial data is represented in Canadian dollars and an unaudited consolidated basis unless otherwise noted. Today, we will provide some commentary on strategic direction and business updates, Hansine will summarize the financial results, and Brent will go into additional details on our BC Hydro programs, including the exclusive megawatt rollouts and the BYOD programs that we're also partnered in. The financial statements and MD&A have been posted on SEDAR and the quarter news release has been disseminated. If you've already gone through the information, you will notice the team has been, again, very busy over the last four to five months and since we last provided a business update at the AGM. We've had sales momentum, debt amendments, reduction in our international branches, among other cost and management decisions, which have all been geared to put a laser focus on our VPP accelerator approach to utility channels, which we've spoken about before and continue to make excellent progress in our ESS development. The news release earlier this week outlined an exclusive utility program in BC. To our knowledge, this is the largest fleet aggregated behind-the-meter rollout for this application and will showcase how smart batteries with full hardware, software and cloud integration can impact and strengthen targeted feeder lines on the power grid. As part of our go-to-market strategy, we modified some of Brent's key responsibilities earlier this year to have more time and focus on understanding and driving utility channels. He will go into more depth on this program and other demonstrations we have in various stages across utilities in Canada and the United States. Strategically, the company is advancing its movement into utility channels with both Direct Purchase and Bring Your Own Device, or BYOD, programs. Our platforms Evolve on hardware and Cloud on software were developed from inception to support all grid-related VPP functions. We continue to see this as a major differentiator for our product solutions and especially for utility customers. This methodology will continue driving our product development objectives and key enhancement efforts as we focus on Eguana Cloud, EMS and battery technology integrations. With respect to progress on additional VPP channels outside of BC Hydro, we sold and shipped evaluation systems to a major smart meter manufacturer and a large California Investor-Owned Utility, who are collaborating to develop next-generation grid-edge solutions. The intent of the collaboration is to develop the first fully integrated smart meter plus battery storage solutions for utilities. It also provides a direct pathway into Tier 1 utility channels for Eguana. We continue to work closely with a major Eastern Canadian utility and currently have early installations completed with Eguana certified installer into a BYOD VPP program. We do see additional demand coming from our installation partner and importantly, for the larger system sizes. This is the direction we believe utilities will go to get better value out of batteries, one of the key drivers for our cascade and product development objectives. To expedite VPP channel execution, we partnered with leading DERMS software platform providers Virtual Peaker, AutoGrid, which is now Uplight and more recently, EnergyHub. EnergyHub operates energy storage VPP programs in the New England territory across Connecticut, Massachusetts, Rhode Island and New Hampshire as well as New York, California in additional states. Eguana and EnergyHub will first collaborate on targeted consumer offers in the New England market to demonstrate platform capabilities and to introduce those markets to Eguana Edge. The intent is to accelerate energy storage adoption under these programs. The DERMS platforms are and will continue to be fully integrated with the Eguana Cloud platform to deliver VPP services, which create recurring revenue opportunities for us. Our advanced electronics platform has key advancements in accuracy, measurement, ride through speed and efficiency that are attractive to both DERMS and utility partners alike. The pillars within the Eguana Cloud deliver additional real-time controls that VPP partners need to drive the grid transition. The company continues to benefit from our Eguana University rollout, which is a virtual training program for dealer installer partner training. And solar partnership and training will remain critical for success even in the VPP space as we support customer deployment sales of Direct Purchase and BYOD programs. Eguana University helps provide for best-in-class consumer experience and rapid scale up for utility programs. Utility channels also allow Eguana to move away from utilizing purely solar installers, which are required in solar plus storage consumer channels by decoupling solar installation and storage-only installations. Not only does this remove complexity, it removes cost as we can simply train and utilize standard electrical contractors. This, along with the regional consumer direct approach, also remove several layers of margin typically seen through standard distribution channels. Combined, these typical customer acquisition costs are removed and Eguana can provide utility and consumers with a much better cost profile, which we believe will start driving mass adoption of energy storage solutions for the power grid. On the operations side, we continue to use our third-party contractor in California, Omega EMS, and have had additional box-build capacity for assembly in our Canadian facility. In addition to providing some redundancy and capacity, it will provide options should the Canada, U.S.A. tariff landscape change under new governance. Our approach is to have U.S. capacity for U.S. customers and Canadian capacity for Canadian partners. All units being sold into VPP and utility direct channels will be under the Eguana brand. To touch on our international business units, we were disappointed in the lack of traction achieved with our partnership with FinanzDesk. Our belief based on information at the time and provided through the contractual process was that FinanzDesk had a simplified sales channel with customers under contract. However, our partner was unable to gain traction. And without success in that channel, the cost to keep a physical presence and location in Europe created too much pressure on cash reserves and at a time where we did see tremendous opportunity in North American utility channels. We do have thousands of installed systems in Europe, which is still a growing market for clean energy and clean electricity, and we will conduct business development directly from our main offices here in Canada. Similarly, we did not see the sales activity and traction expected from our partnership in Australia with the Utility Simply Energy. This drove a difficult decision in November to wind down that location. We will continue to constantly review options to deliver additional operational efficiencies, along with assessing opportunities to further reduce our cash requirements while pursuing cash inflow. In line with many renewable companies, the financial position of the Eguana remains constrained and may impact future optionality of the business. Many colleague companies have not made it through as these adjustments and decisions are very difficult. I'm proud of our team and the culture we've been able to maintain and foster throughout the unprecedented time in renewable sectors. We recently reviewed some commentary from previous calls we've had discussing the Eguana Mission. It was interesting to see that over a year ago, we told the market our mission was to become a global leader in residential and small commercial grid-connected energy storage solutions, which are expected to be an essential contributor to the electrification and migration to a distributed power grid, also referred to as distributed energy resource, or DERs, in short, to be a leader in power grid modernization globally. This is more true today considering the geopolitical uncertainty, along with natural storms and other disasters creating grid problems, which are compounded by an overall growing demand for energy. As solar market significantly retracted with stunted early traction of batteries, we knew we needed to be nimble and with a process for quick decision-making. In recent years, the market has gone from tons of positive policy, low interest rates and positive consumer sentiment to mix policy, high interest rates and low consumer activity. We responded by prioritizing development spend, managing staff in flexible ways that supported our employees and focused deeper cuts on other discretionary spending. Year-to-date 2024 compared to 2023, we've delivered a reduction on cash expenses of approximately 50%. We were also successful in achieving these results without jeopardizing our product development objectives, very important progress has been made and in the past several months. Early in 2024, the company launched the Eguana Edge, one of the key modules of the Eguana Cloud platform. Edge is a utility feeder load balancer that provides utilities with a fleet of energy storage assets, which are managed in real time to stabilize feeder loading and voltage quality. Eguana Edge consists of the suite of Eguana's Energy Storage Solution products combined with Eguana's fleet management software and operations and maintenance services. Eguana Edge present this fleet as a single asset for DERMS integration to deliver system-level ancillary services, including demand response, frequency regulation and spending reserve. Eguana Edge can be deployed as a customer-owned fleet. However, it delivers its highest value when deployed as a utility-owned asset, offering resiliency to their customers in exchange for hosting and accessing the system. Eguana's strategy is to add utility partnerships and earn recurring revenue from the cloud services delivered to the utilities. We are currently advancing Edge with utilities in Canada and the U.S. on distressed feeder lines that require end-of-line voltage support, demand response programs or simply have a high penetration of solar. In addition to Edge, we have Eguana Exchange and Eguana Engage. Engage is our consumer-facing interface to remotely monitor battery state in real time, along with solar generation and home consumption. Homeowners can see metrics on how the battery and solar at present are performing and providing benefits to them. Engage provide operational control parameters that enable the consumer to set and manage backup reserves for using grid outages and also to enable emergency reserve in anticipation of prolonged grid outage. Additionally, it provides the path for homeowners to easily enroll VPP programs. A simplified enrollment process was a key request received from multiple utility partners to help simplify the enrollment into BYOD programs and to be able to maximize value of the battery system. Eguana Exchange in conjunction with Edge connects the energy storage fleet with DERMS and other utility software programs to deliver additional system-level benefits. Based on partner feedback, we have a very simple integration process based on how we design the cloud modules. This is the same approach we use with our hardware integrations many years earlier. In addition to the development team advancement with cloud, we've also integrated new battery technology from an established battery module manufacturer into the Eguana Evolve product line, achieving higher density and lower cost. New battery modules are expected to deliver gross margin improvements in our ESS product line. Continued review of battery alternatives from a cost margin and performance perspective, currently, we're evaluating battery modules with larger partners with the ability to provide and cover certification costs in exchange for preferred statuses for utility channels, which is currently being sought aggressively by battery companies who have capacity, particularly coming out of Asia. The team completed cascading product development for the Evolve product line to allow for multiple unit installations per site, providing additional power and capacity for utility and consumer applications. As a result, simplifying product certification processes and cost for the Evolve line. Previously, based on early storage market conditions, we develop application-specific products. However, with ever-changing policy and significant increases in certification cost, we simplified the Evolve line through the cascading development. Rather than certifying multiple products for changing markets, we will be able to simply install correct size and capacity configurations by increasing or decreasing unit numbers for installation. First certifications of cascading Evolve, energy storage systems are planned for the first half of 2025. At this point, I will turn it over to Brent to talk a little bit about sales, product development and into the VPP space.
Brent Harris: Thanks, Justin, and thank you, everyone, for joining us today. Eguana recently announced its exclusive collaboration with BC Hydro to provide direct purchase systems to residential customers at a 200-unit pilot program for behind the meter, grid-connected load, balancing VPP designed to strengthen specific areas of the grid. This followed two smaller pilots that have been operating since earlier this year, demonstrating various group services. We started working with BC Hydro last year and completed installation, commissioning and demonstration for the earlier pilot projects. In one, the Evolve LFP energy storage systems were too alongside existing solar power systems and select homes in New York and Oregon Valley on a single feeder with high rooftop solar penetration. The systems are used by the utility for demand response services during the winter peaking period and to stabilize feeder loading during summer days. In another pilot, Eguana's evolved LFP MAX product, which we used in the Northern Community to support end-of-line voltage control on the long during winter peaks and to provide demand response services. The meeting Canada approach for the hardware and cloud services was important and the depth of our technology stack with the Eguana Cloud and its unique capability to help BC Hydro make for decision to run the pilot as exclusive Eguana Energy Storage systems. While delivering the BC Hydro opportunity has been a focal point for the team for the past few months, we have also made progress on all of our VPP accelerator market with key contractor relationships established and installations already completed in Nova Scotia and scheduled in Vermont and Oregon before the end of this year. Completion of integration with EnergyHub has also opened Connecticut and the remainder of Massachusetts to our programs, giving us access to demonstration opportunities with almost every utility in the New England ISO. We will put additional resources into New England in 2025 with the expanded objective of establishing a demonstration fleet on five feeders, one in each of five utility territories and scaling up a fully-fledged accelerator program in at least one of those markets, while continuing with similar programs in Nova Scotia and Oregon. We also expect to launch a feeder demonstration with another Western Canadian utility in the first quarter of 2025. And based on our efforts to date and the exposure they brought us, we've been invited to respond to specific utility RFPs for distributed energy storage. There's almost 3,000 different utilities operating in the U.S.A., and we are working in Q4 to understand and prioritize the priority beginning structured outreach and engagement in early 2025. Based on our discussions with dozens of utilities through conferences attended in Q4, it is clear that many utilities have an interest in using distributed energy storage to strengthen the distribution grids, but has not been presented with a viable option until now. We believe that our outreach will activate latent demand among these utilities, resulting in the announcement of new projects later in the year. To reiterate what Justin was saying about the Eguana Cloud and our complete solution, these utility applications are exactly what I developed this hardware platform from the beginning. We've always seen this technology and energy storage in general as a utility asset that can also deliver benefits to the host customer. And that was our original target market for the power controls technology all those years ago, distributed storage based on hydrogen fuel cells. Efficiency gains with residential and commercial lighting, HVAC and other appliances have shielded utilities from having to make these investments, but there are limited gains remaining there. And with the electrification of vehicles and everything else, concerns about peak load and distribution infrastructure return and are exceeding the utilities forecast year after year. In the meantime, communication and networking technology is advanced by leaps and bounds, and lithium batteries have become the storage chemistry of choice. During that period, Eguana has built a full technology stack on top of its core power electronics from battery integration to on-site controls and finally, the Eguana Cloud so that we can now offer a complete solution to the utility customer rather than where we started by integrating our technology to someone else's projects and plans. We've also seen the emergence of a niche segment of the consumer market that is interested in purchasing energy storage to support their own independence from utility cred. Utilities have tried to attract these customers to their demand response programs but have had a little success. And even when they are successful in enrolling them, the opt out rate on events is so high that they cannot be considered a reliable grid resource. This segment will continue to exist, but the mass market will never invest so much in ensuring their own independence. This is an opportunity for Eguana. I've never been so excited about the opportunity in front of us, and I really enjoyed being back on the road, promoting the Eguana brand with customers we always intended to serve. 2025 promises to be very exciting indeed. I'll now turn it over to Hansine.
Hansine Ullberg: Good afternoon, everyone, and for those in the U.S. joining this call, happy belated Thanksgiving. On the financial piece, for third quarter, overall, macro negative factors, of course, constrained the renewable energy industry. The distribution channel inventories remained high from the downturn in early 2023 and consumer spending with inflation and interest rates remained soft. These factors which were originally forecasted last only a few quarters continued to impact sales and revenue into the third quarter and likely throughout the balance of the year. As a result of this and the drop in consumer rooftop solar that we were generating in Australia, our Q3 2024 revenue of $0.3 million was much lower than the comparative quarter of September 2023 of $2.5 million. In the quarter ended September 30, 2023, margin remained low because with low revenue, we also end up with low margin. Number of our costs in - cost of sales are indirect related to operations and so that draws down our margin. In the comparative Q3 2023 quarter, margin was also low due to onetime impairments, which had a negative impact on the overall margin. As a result of significant cost reductions that Justin explained, our overall expenses did see a significant decline quarter-over-quarter and year-to-date. Total operating expenses, which I'd like to call kind of cash expenses, excludes amortization and stock-based compensation. Year-to-date, September 2024 was $4.7 million, compared to the year 2023 at September 30 of $9.1 million, so almost 50% lower. The Q3 2024 operating loss was $2.7 million, an improvement from the $5.7 million in the comparative quarter, September 30, 2023. This improvement in overall loss is largely due to these reduced expenses. Product development was down approximately $0.7 million. Sales and marketing quarter-over-quarter was down approximately $0.4 million and operations quarter-over-quarter was down approximately $2 million. We did also see a swing in the expected credit loss related to accounting for the large receivable balance that we have. So under the accounting standards, this old receivable balance was fully provided for at the end of December 2023 and then payments that are received are now reflected as a recovery through profit and loss. So the company received payments during the three months ended September 30, 2024, and recognized a recovery of $1.1 million against the expected credit loss provision. During quarter, ITOCHU Corporation, our strategic investor in the convertible debenture deferred any interest due on September 1 and March 1 and have pushed that forward into their next interest payment so at the end of February 2025. And we are having ongoing conversations about what that might look like as we entered into amendments with our senior lender to extend the maturity date of their debt and that was released in our press release that moves that maturity into May 2025 - sorry, May 2026 with the first payment coming up December 15. That is pretty much the crux of what occurred in the third quarter. As mentioned in the subsequent events note and Justin kind of lightly alluded to it, the Board of Directors of Eguana PTY did make the decision to fully close the Australian operations and formal liquidation is underway. The various assets and liabilities of that subsidiary will be adjusted out of our financial statements for the year ended December 31, 2023. And reflected as discontinued operations similar to the treatment of the German operations. And I'll let Justin have some closing comments.
Justin Holland: Thanks, Hansine, as well as thanks, Brent as well. We do expect that the market for consumer sales in the fourth quarter of 2024 will continue to be constrained and the macroeconomic factors mentioned will still impact distribution channels, making it difficult to predict when we will see consumer market improvement. As a result, we did accelerate our entry into and focus on the utility channels, as we've mentioned. Our strategy has been to utilize brand name recognition in the consumer channel and to drive the value of the Eguana brand into utility-driven opportunities. Our view is this segment is less impacted and somewhat insulated from factors currently influencing the consumer spending decision. As Brent noted, we have the strategy to execute success in the BYOD programs as well as a plan to enter into direct utility purchasing agreements. Our mission is to get our technology on the grid, demonstrating the value to homeowners and utility operators simultaneously. We believe our development Canada Cloud services and hardware technology will be an important factor to utility players, as the world continues to be volatile and cyber risk, particularly with utilities and energy, remain a top of mind concern, for stakeholders and policymakers. We continue to hear the messaging on growing energy consumption, with the prediction that it will double by 2050, which highlights the generation problem. The more challenging concern in our estimation, is not just producing power, it's the transmission and distribution of that power. This is where residential energy storage meet the utility needs, having storage at or near the point of energy consumption. Our Eguana platforms have been developed for the grid, to be used as an infrastructure asset, while providing additional benefits to homeowners. With that we will take a few questions. We do recognize that for our U.S. friends it is Thanksgiving weekend and it is Friday afternoon, but we will go through some of the questions that are being posted here online.
Justin Holland: How much of a discount did you have to give BC Hydro for this exclusivity? It's a fair question. The good news is we did not have to give any pricing discounts. The units have been sold at full value. This is going into specific feeder lines to strengthen the grid for BC Hydro, and as well to give concrete data on the effectiveness of fully integrated batteries on a power grid. So it's been in development for quite some time. As Brent mentioned, we did do two smaller pilots, which previously with BC Hydro which were tested, which has got us to this point. We do anticipate the rollout happening quickly, with complete units or all 200 or the megawatt units being deployed and installed by spring of 2025. Is DPC paying their bills? They are. It's obviously slow. We've mentioned this a number of times, but we are conscious of the market condition. We're conscious of how many solar companies have not made it this far. I'm sure on a day-to-day basis that the team there is working very diligently. We do get progress payments weekly, sometimes biweekly, to the tune of I believe Hansine mentioned $1.1 million. So they are paying their bills. It is slow. We continue to work directly with the DPC and Omega teams, and do anticipate collections to be ongoing. Can you go into more detail on the IOU and smart meter company? Not too much detail on this one. It is a longer term collaboration. It's very exciting internally, particularly for the development team to be integrated with a smart meter technology that has access to thousands of utilities. It also provides direct channel entry into Tier 1 or larger utilities that may be just out of reach for us, at this point in time. We will have more information as the collaboration with the utility and the smart meter company developed, but for now safe to leave it there and let the bigger companies have more of a splash, when they're ready to come out upon successful completion of the integration. Manufacturing capacity in Canada, are you changing manufacturers? We're not intending to change manufacturers at this time. We're quite happy with the quality that comes out of Omega. What we're changing is some of the box build capacity on, where we assemble and test the unit. And this is really just preparation for the political landscape between Canada and the U.S., as well as the tariffs and what might come down that pathway. We want to make sure that we're ready to have a successful outcome should tariffs be put in place between the two countries. So the manufacturing capacity is not at board level. It's at box build and test level, which will allow us to manage a much simpler logistics approach to customs and import export. How much turnover has there been with all the cost cutting? That is a very good question. One of the things that we did a number of years ago is focused on culture development. We wanted to make sure that the team want to do be here. They wanted to work with their colleagues. Happy to say we've had very little turnover related to cost cutting. The team has been exceptional. They continue to get their tasks done. They continue to drive their objectives forward. We did cut back even summer hours by 20%, still did not lose any time. So it's big pat on the back to the greater team. We've not lost many team members, and we've not jeopardized any of our objectives as we've been able to cut almost 50% cost out of the business. Eguana has really big announcements in the past, why will BC Hydro be any different? I would also say that is also a fair question. I think due to how much further down the process path this engagement is, we already have the 200 consumer sites identified. Over 40 of those, approaching 50 of those have already had site assessments in our planning installation schedules. We do have the finished goods product available to us, as part of the negotiations we did with Duracell last December to get our hands on finished goods inventory, raw material inventory in exchange for bringing down the large receivable. So we think we're in really good shape here. We've got product that's already been converted to the Eguana brand. It's been retested fully and completely and ready to ship, which we do expect to see in the coming weeks. The target confirmed by - confirming led by BC Hydro in spring of 2025. So we expect this to start and finish within two to three quarters, which is very, very fast. So although a big announcement relative to prior announcements from the company, there's some significant differences in the execution of this announcement, and the timing of when this announcement came out. We've also done several smaller projects with this utility already. So quite further advanced than some of the agreements we've had in the past. So, we see it as being almost completely different, and are really excited to get these shipments moving. The installation is going and to demonstrate the capability, not just for BC Hydro, but for all North American utilities on what the Eguana platforms can deliver to the power grid. Do you think our technology is the best for residential utility applications? And if so, why? I'll turn this one over to Brent. He was pretty forceful in the reasons for developing the platform. I think he was right. I think the vision is right, but I'll let him answer why we think our technology is the best.
Brent Harris: Our technology is the best for this application, because it's exactly what it was developed for. It sounds like an easy answer, but it's true. This is what we had in mind from the beginning. If you look at most of the other storage products, what's happening is you have a solar inverter, or an off-grid inverter that's been adapted for this grid-connected battery application, and it comes with limitations. These are much simpler applications. When you go to integrate them with utilities and with our DERMS partners, is where you see that come out, for example, the testing that we did was Simply Energy in Australia through their VPP pilot that started in 2019, started with a dozen suppliers of equipment. And by the end of it, there were two left standing that still qualified to deliver all the services, the utilities looking for. That was awesome, another product with a big T on the front. When we go in with the DERMS providers and they're doing the integration, they're just really surprised at how easy it is and how ready we are for that. They don't - they're not waiting for us to add new features, and add things to the product and try to patch things together, to try to meet the requirement. It's all there, and it's just a matter of addressing it and testing it out, and everything is done really quickly, and the performance is beyond their expectation. So without getting into the details of every function, that's why I know we've got the best solutions, because when it goes to the task with those important partners, they tell us that it's the best one that they've seen.
Justin Holland: When will BC Hydro revenue come in? Again, I think this is in line with the earlier question about why this is different, but we do anticipate seeing revenue quickly. We expect shipments to happen this year, which would show revenues in Q1. And based on the utility objective is to finish the entire program by spring in 2025. So we won't have - which has happened, particularly in the storage space, large announcements with little near-term traction. I think this is a question - a post question to what Brent just answered. Can you tell us the key differentiators [RTEC] has versus the competitive technology? I'll take this one. Again, I'd reference the Simply Energy test from 2019, where it was just a straight head-to-head competition on responding to utility commands, which we were one or two that came out of that. Second, we have full control over hardware and software platforms for grid - residential grid assets. We don't know of any other a company that has full control of both sides of the equation. We did that intentionally. As a small company, it allows us to respond very, very quickly to change. It allows us to respond quickly to development objectives, feature requests, if you think of the online enrollment processes, which may sound simple. It's one of the largest hurdles and headaches that the utilities deal with, is how to get the homeowner or the consumer into their program, when you have to go through manufacturers, installers and consumers, and tie and marry all of that together. So we were able to have control and be able to respond very quickly, because of how we develop the two platforms. We're completely developed and manufactured in North America. Again, that goes towards security, the geopolitical environment, risks of using non-North American technology, particularly software, as it relates to energy and the power grid, another key differentiator. And we've designed for easy integration, whether it be on battery integrations at this point to believe. We've integrated close to 15 different battery technologies over the last 12 years or if it's - on the software platform with DERMS providers, and the utility software on its own. So a number of key differentiators that we have and that we've intentionally built in to simplify working with Eguana, whether you're a DERMS partner, a battery partner or a utility, all with the mission to get more of our technology on the power grid. What is the state of the Duracell strategy in the 10,000 units? Again, there's been significant change and impact to renewable markets, particularly in the rooftop solar side. But when you constrain rooftop solar to the point it was, and you depress consumer spending at the level that happened, individual battery sales become extraordinarily difficult. So the strategy there was to have Duracell run through consumer channels. They are surviving like many companies in rooftop solar. Where that strategy goes will be determined, when the market starts to start up and grow again. Will ITOCHU give you any business? ITOCHU is an interesting strategic partner in that they cover so many facets of the renewable and energy sectors. They provide help on supply chain on the operational side, certainly with battery partnerships again on the operational side. And we do work with them on some utility relationships as they have many, as you would expect. They don't give us direct business, but as a key shareholder and strategic partner, they do open up other access for us. With that, I will wind down the call again on a Friday afternoon. We thank everybody, particularly those coming from their holiday time to check in and hear the Eguana's third quarter update. Thanks, everybody.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.